Ignacio Arambarri: [Foreign Language] Good morning, ladies and gentlemen. First of all, we would like to offer a warm welcome to all of you who have joined us today for our 2023 Fiscal Year Results Presentation. As usual, we will follow the traditional format given in our events. We are going to begin with an overview of the results and the main developments during the period given by the top executive team that usually is with us. Mr. Ignacio Galán, Executive Chairman; Mr. Armando Martínez, CEO; and finally, Mr. Pepe Sainz, CFO. Following this, we will move on to the Q&A session. I would also like to highlight that we are only going to take questions submitted via the web, so please ask your question only through our webpage www. iberdrola.com. As well, and given that we will be holding our Capital Markets Day in London on March 21, any questions you may have related to the medium- and long-term, please save them for that day. In this way, we will be able to adequately answer today the question related to the legacy of the 2023 results and also the ones about the expectation for 2024 and not take up too much of your valuable time. We know that many of you also have the results of other utilities today. Thank you very much for this. Finally, we expect today’s event to last no more than 1 hour or 1.15-hour. Hoping that this presentation will be useful and informative for all of you. Now, without further ado, I would like to give the floor to Mr. Ignacio Galán. Thank you very much, again, please Mr. Galán.
Ignacio Galán: Thank you, Ignacio. Good morning, everyone, and thank you very much for joining this results presentation. In 2023, net profit increased by 11% to €4,803 million driven by an investment of €11,382 million with an increase of 6%. This new record of investment reflects the huge activity carried out by the Group in 2023, with €18,100 million of purchases to several thousands of suppliers, which already employ close to half a million people worldwide. Also, with 4,700 new hires to reach a workforce almost of 42,300 employees. In a tax contribution of €9.3 billion globally, up 24%, with €3.5 billion only in Spain after an increase of 35% year-on-year. EBITDA increased 9% to €14,417 million even after €117 million recorded in last quarter for future efficiencies. Without that one, the increase will be higher. This growth in operating result was driven by 8% increase in networks asset base to reach €42.2 billion and 3,250 megawatts of renewable capacity installed during the year reaching 42,200 megawatts worldwide. In 2023, we complete the installation of turbines at Saint-Brieuc offshore wind farm in France with 100 megawatts, and we start the production of Vineyard Wind 1, the first largest scale offshore project in the U.S. I think today is something like 62 megawatts already in operation. On top of that, we continue reinforcing our portfolio route to market. We laid the PPA market in Europe, in 2023, we’ve closed 1,000 new megawatts and we increased our retail market share in Iberia. In addition, in just 3 months, we have completed our 3-year asset rotation and partnership plan. A few days ago, we received the final regulatory approval for the sale of 55% of our business in Mexico and we expect to collect around US$6 billion in February 26. Also, our co-investment alliance with Tier 1 partners like Norges Bank, Masdar and GIC are allowing us to maximize investment opportunities. And continue improving at the same time our financial strength. In 2023, our operating cash flow increased by 8% to €11.1 billion and the FFO to adjusted net debt ratio reached 25.8% including the Mexico transaction. So, as you can see, in 2023, we have maintained one more year our long track record of execution, allowing us to reach or exceed our outlook once again. As mentioned, investments grew by 6% to set the new record of €11,382 million. Around half of total investments were allocated to networks after an 11% increase, another half to renewables. Our investment partner contributed with €1.1 billion to these investment figures. By geography, the United States was once again our first destination with more than €3 billion, followed by Spain and UK with €2.2 billion, 53% up versus 2022. We also invested €1.8 billion in Latin America, mainly in Brazil, and €2 billion other countries like Germany, Italy, France, Portugal, Australia, Greece, and Poland, among others. Driven by investment, EBITDA increased 9% to €14,417 million after the €117 million for future efficiencies registered in about fourth quarter as mentioned earlier, and the CFO is going to explain in more detail. Networks result increased thanks to new rate cases. U.S. mainly in New York; in UK, RIIO ED2; and in Brazil, where they have tariff reviews in 3 of our 5 distribution companies. Results from production and customers reflect the improvement of market conditions in the UK, where ScottishPower recorded the retail deficit accumulated over the last years. And the normalization of production in Spain after very low renewable and nuclear output in 2022, which has, as you remember, obliged us to purchase energy at very high prices to supply to our customers. Our networks asset base reached €42,210 million, up 8%, driven by growth in the United States, UK and Brazil. Avangrid contributed one-third of our total RAB €13 billion, with the rate cases secured for around 80% of our asset base, included our New York utilities, with 60% until April 2026, and Central Maine Power until June 2025. The United Kingdom [regulated taxes] [ph] increased by 8% to €10.3 billion, mainly driven by RIIO ED2 and RIIO T2. And we are already starting the approval process of RIIO T3 with investment that could exceed GBP 5 billion between 2026 and 2031. On top of the €1.1 billion of the Eastern Link interconnection project, we have already approved. In Brazil, our total asset base reached €9.5 billion, an 80% increase year-on-year, and we have continued progressing in our investment areas with GIC in transmission. Finally, regulated taxes were flat at €9.3 billion, affected by the existing regulatory capital investment in the country. However, in the last weeks in Spain we have seen a few positive signs. The government has said, it may reconsider this limit and the regulatory has started to review the rate of return, which today is, as you know, as low level compared to other countries for the next regulatory period. In renewables, we added 3,250 megawatt of capacity that will continue balance it our generation’s supply position. This asset implied total investment of around €5 billion in the last year, with 60% corresponding to offshore wind and hydroelectric. In offshore wind, as mentioned, we have concluded the installation of 500 megawatt of turbine in Saint-Brieuc in France. And the first group of turbines, 62 megawatt of Vineyard Wind, when started production in the last days of 2023. On top of that, 700 megawatt correspond to offshore wind farms in Brazil, Spain and other European countries. In 1,750 to solar PV in the United States, Spain, Portugal, and Australia. And the rest is hydroelectric capacity in Brazil and Portugal, mostly pumping storage. In Iberia, we increased our co-investment alliance with Norges Bank to more than €2 billion and finished the installation of Alto Tamega in Portugal with the third Dam of the Tamega Hydroelectric Complex with less 160-megawatt additional capacity to reach 1,200 altogether. On top of that, we have reached 45,000 charging points, 6,000 of them public, with further acceleration expected through our €1 billion partnership with BP, especially ultra-high-rapid speed charges. In the United States, the Vineyard Wind 1 offshore wind farm has achieved first power to the grid. And in Europe, we are also progressing in our second offshore wind farm in Germany, Baltic Eagle with 476-megawatt, which will be fully operating in the fourth quarter of this year. And we have installed as well 91-megawatt in Poland and Greece. And finally, in Australia, we have commissioned 245-megawatt of solar PV and we are progressing on 145-megawatt offshore wind. Moving to routes to market, in 2023, we continue reinforcing our integrated profile, providing us with high visibility for the coming years. We lead the European PPA market with almost 1,000 new megawatt signed, 7% of the total in the European Union. Reaching alliance with top-tier customers like Amazon, Vodafone and Meta, we are significantly standing the demand of clean energy. And we continue reinforcing our position in retail markets. In Spain, our market increased to 27.3%. Today, we have 8.3 million customers in Iberia, with an average of around 3 contracts per customer. Also in the UK, we wear the retail markets, they’re still strong conditions by the tariff cap, we have continued improving our customer services, reaching the first position among all suppliers according to Citizen Advice. This plays us in the best situation to compete as soon as the market reactivates. As of today, we have around 3 million customers in the UK with 2.5 contracts per customer. Last week, we received a final regulatory approval for the sale of the 55% of our business activities in Mexico to the equity fund Mexico Infrastructure Partners and we expect to collect around €6 billion of the transaction on the 26th of February. As you know, the business we have divested includes all combined cycle gas generation plant that currently supply electricity to CFE. This transaction also ends previous litigation in all power plants that will stop for regulatory or administrative reason are now back in operation. As a result, we will maintain the remaining 45% of our business, continuing to supply electricity, mostly produced renewable to our industrial customers. We also keep more than 6,000 megawatt of renewable pipeline in over 30 projects in 14 states, with 2,000 on tracks for the next few years. This will allow us to continue growing and increasing and creating wealth and job in a core country for us after more than 20 years of present in Mexico. Yesterday, Avangrid and Neoenergia presented their full year result, showing a strong performance in both cases. Avangrid registered record investment of more than US$3 billion, EBITDA increased 10% to US$2.7 billion, and adjusted net profit reached US$808 million. Driven by new rate cases, they will drive US$9 billion of total CapEx until 2026, including transmission and distribution. In renewables, as I mentioned, our Vineyard Wind 1 offshore wind farm achieved first power export, and the company has 1,000 megawatt of onshore wind and solar under construction. Also, the company first repowering project of around 100 megawatts is already underway. In the case of Neoenergia, investment reached close to BRL 9 billion. EBITDA increased by 7% to BRL 12,359 million. A net profit reached close to BRL 4.5 billion. In 2023, new tariffs reviews were approved, covering 75% of Neoenergia distribution asset base, driving several billion reais in investment over the next 5 years. In transmission, Neoenergia has continued progressing in the construction of the project already awarded, which will imply more than BRL 10 billion of investment. The co-investment alliance signed with GIC will maximize Neoenergia investment capabilities and preserve its financial strength. Finally, in renewables, over the last 12 months, Neoenergia has put in service 700 new megawatts and closed an asset swap with Eletrobras related to hydro facilities, as you know. At the current level, all this activity has driven an 8% increase in operating cash flow to €11.1 billion. Allowing us to maintain our adjusted net debt below €48 billion, this figure will be reduced in the coming days to around €42.5 billion once the cash from the Mexico transaction is collected. As a result, our financial ratios remain strong, FFO to adjusted net debt ratio reached 23.2% and will increase to 25.8% considering the Mexico transaction. This will mean an improvement of 250 basis points compared to 2022 figures. This set of results will allow to the Board of Directors to propose to the Annual Shareholders’ Meeting a total shareholder remuneration of €0.55 per share, up 10.8%. Once approved, a supplementary dividend of €0.348 per share, which will be paid in July, on top of the €0.202 per share already paid in January. Additionally, we plan to maintain the engagement dividend related to our Annual General Meeting, as you know, last year among €0.005 per share. Following our commitment with social dividend, this huge increase in our business activities has driven positive environmental, social and governance impacting for all our stakeholders. Our CO2 emission reached only 55 grams per kilowatt hour in Europe, 80% below our peers. We made 4,700 new hires in 2023, reaching a total workforce of almost 22,300. In our purchase reached €18.1 billion to thousands of suppliers worldwide with employ more than half million people. We also invested €385 million in research and development, becoming the private utility that invests most in innovation according to European Commission. In our Global Tax contribution reached €9.3 billion, 24% more than last year. Out of these, €3.5 billion correspond to Spain after 35% increase year-on-year. Just in detail, in 2023, levies in Spain were as higher as salaries, all operating and maintaining expenses, external services, and financial costs combined. Thank to all these social contributions in 2023, we received several recognitions. To our leadership in ESG, by the Foreign Policy Association of the United States, by Standard and Poor’s, we include Iberdrola in the top 5% of the companies with the best ESG score worldwide. Also to our corporate governance by World Finance, to our climate action like A-Rating awarded by the Carbon Disclosure Project. So, now, I will hand over to Pepe Sainz to complete the presentation.
José Sainz: Thank you, Chairman. Good morning to everybody. As the Chairman has explained, EBITDA was 9%, up to €14.4 billion, and reported net profit grew 10.7% to €4.8 billion, including in Q4 2 one-offs for €141 million net of taxes. One related to efficiency plans, as the Chairman has commented, €90 million after taxes. And the other to a provision in the UK, €51 million after taxes that we are expecting to be recovered in 2024. Net profit would have grown 14% excluded the one-offs in Q4 that I have just mentioned. FX evolution had a negative effect on our EBITDA results, but it’s recovered at the net profit. The pound and the dollar depreciated against the euro by an average of 2% and 2.6% each one, while the real slightly appreciated 0.6%. Revenue decreased €4.6 billion or 8.6% to €49.3 billion, mainly due to the energy production and clients in Spain. But procurements fell more, 23% or €7.7 billion to €26 billion, as in 2022, Iberdrola had to buy electricity due to renewables and nuclear shortfall in Spain at very high prices. In 2023, the situation has been reverted due to a normalized production and lower prices. As a consequence, gross margin rose by 15% to €23.3 billion. Reported net operating expenses increased 17.8% to €6.1 billion, but excluding extraordinary and reconciliation impacts in the U.S., net operating expenses increased 8.2%. Reported net personnel expenses grew 17.6%, but 7.4% excluding the already mentioned efficiency plan of €117 million in Q4, excluding also reconciliation impacts in the U.S. and other minor extraordinary. Reported external services increased 11.1% and 4.8% excluding the reconciliation impacts in the U.S. and other negative extraordinary, mainly in the U.S., where we have the cost of the cancellation of the offshore projects in the UK and in Spain. Levies, as the Chairman has pointed out, grew 56% or €986 million to €2,748 million, of which €847 million are due to Spain. As a consequence, Levies over net operating expenses ratio in Spain reached 123%, meaning that we are paying in Spain, Levies more than our total cost of net operating expenses, while in the rest of the group Levies only account for 22% of our net operating expenses. As you can see in the slide, Spanish levies doubled in 2023, representing 86% of total group increase. Let me highlight the most relevant ones, the social bonus, the €67 clawback, the 1.2% revenue tax, the nuclear tax, the hydro canon, the local land use tax, the eco tax, the nuclear waste tax, another 37 taxes. Clawback and revenue tax are imposed as temporary levies and we expect that will disappear. Actually, clawback is actually gone in 2024, but thanks to the European legislation, and we expect that the 1.2% revenue tax will also disappear or fall significantly. Nevertheless, excluding these two taxes, the rest of taxes will continue to be in a disproportionate amount that reaches 90% of our net operating expenses, much higher than in other geographies as commented in the previous slide. Analyzing the results of the different businesses and starting by networks, it’s EBITDA reached €6,011 million, 7.9% down, but grew 9% on a recurring basis, excluding €1 billion of one-offs with negative impact in 2023 mainly in Brazil and the U.S., as I will explain now. In Spain, EBITDA fell 3.4% to €1,553 million, affected by the efficiency plan in Q4. Operating performance in the business was in line with 2022. In the UK, EBITDA was up 15% to GBP 1,072 million, thanks to the ED2 new regulation from April onwards and higher asset base, especially in transmission. In Brazil, EBITDA fell 6.2% to BRL 9,867 million, due to lower contribution from the transmission business that includes 2 one-offs for a total of BRL 2.4 billion. The first one related to GIC deal minus BRL 290 million and the other related to the overrun cost in transmissions due to COVID, BRL 2.1 billion, that we have already claimed to ANEEL expecting to recover them. The negative impacts in transmission are partially compensated by an improvement in distribution as the tariff reviews had positive impacts around BRL 700 million positive. Finally, in the U.S., EBITDA was 24% down to US$1.5 billion, improving versus 40% down as of September after including in Q4 US$150 million of recovery following the new year rate case approval. As its effects are recognized from May 1, 2023. Year-on-year IFRS evolution is still affected by the negative impact of US$550 million positive one-off booked in the second quarter of 2022, linked to the recognition in IFRS of regulatory assets and US$87 million from pension provisions both accounted in IFRS, but not in U.S. GAAP. U.S. GAAP EBITDA grew 12.6% to US$1,950 million, also including the recovery of US$195 million in Q4 from the new year rate case approval. Energy production and customer business, EBITDA grew 28% to €8,600 million. Beginning in Mexico after the recent transaction, EBITDA of the retained assets was US$412 million, with higher results from thermal assets despite lower contribution from renewables, resulting in US$89 million more than in 2022, while EBITDA of the disposed assets was $437 million, with lower contribution from contacted plants with CFE due to lower availability. In Mexico, total EBITDA fell 5.6% to US$849 million. In the UK, EBITDA increased 155% to GBP 1,815 million, thanks to the collection of GBP 341 million pounds of 2022 deficit, in a context of margin normalization this year in a retail business. Higher offshore results more than compensated, lower offshore results due to wind load factor and the windfall tax. In Spain, EBITDA was €4,277 million, 24% up, driven by production reaching normal levels, with 6-terawatt-hours higher hydro production, compensating minus 1-terawatt-hour of lower wind production and also higher sales, as the Chairman has mentioned, due to almost 2 percentage points increasing market share to 27.3%. Also contributing to these results were energy purchases at lower prices than last year. Positives on the operating performance evolution has been partially compensated by more than a double increase in levies, as explained before, and higher net operating expenses due to the Q4 efficiency plan also mentioned previously. In the U.S., EBITDA reached US$741 million flat, excluding the offshore break-up costs that drove EBITDA down 2.4%. In Brazil, EBITDA fell 13.9% to BRL 1,880 million due to lower contribution from thermal business as last year was exceptionally strong, partially offset by contribution from new renewable capacity in operation, around 500 new megawatts in Brazil. Finally, in the rest of the world, EBITDA fell 1.7% to €420 million with 1-terawatt-hour higher production due to new capacity in operation that is more than offset by higher net operating expenses linked to the business expansion. EBIT was up 12% to €9 billion, D&A plus provisions grew 3.8% to €5.4 billion, mainly due to the business growth with higher asset base and activity, and bad debt evolution due to increased customer billing. There is also, as I have mentioned, some non-recurrent provisions in Q4, including €67 million in the UK linked to the regulator code of practice that we expect to recover in 2024. Net financial expenses rose €349 million to €2,187 million. Debt related costs grew €477 million, €149 million due to higher average net debt and €303 million due to higher cost of debt, 70 basis points up to 4.97% that nevertheless is below the 5.05% peak at June, excluding Brazil the cost of debt was 3.76%. Cost of debt is in line with the one expected in our Capital Markets Day of 2022. The higher financial expenses have been partially offset by €128 million positive non-debt related results mainly linked to FX hedges and capitalized interest. A reported credit metrics remain solid, 12 months FFO was flat at €11.1 billion and up 8%, exclude the hydro canon payment in 2022. Adjusted net debt was €47.8 billion and pro forma net debt, including the Mexico proceeds, decreased to a range of $42 billion to $44.5 billion due to some cash adjustment pending, both clearly below the December 2022 debt of €43.7 billion. Reported FFO adjusted net debt stands at 23.2% maintaining the September levels and pro forma ratio including Mexico proceeds grew to 25.8%. Our adjusted net debt to EBITDA is 3.3 times, 3.003 times pro forma including the Mexico proceeds. And our adjusted leverage ratio was 44% and decreased to 40.8% pro forma including the Mexico transaction. Our diversified portfolio provides flexibility to target different markets and the right timing, achieving very favorable conditions. In 2023, we have signed deals for €14.7 billion, 91% ESG transactions reaffirming Iberdrola’s commitment. Iberdrola continues to be the world leading private group in green bonds issued that provide high quality and strong ESG investor demand driving lower spread than other bonds. Liquidity is at 27 months or 21 months at risk. Reported net profit grew 10.7% to €4,803 million, but if we add the €140 million, as I mentioned, the growth would have been 14%. Equity method results increased €143 million, thanks to Brazil renewable asset swap that offset, we already mentioned, Brazilian transmission one-off at EBITDA level. Income tax is negatively affected by the positive one-off accounted in 2022 in Brazil and by the negative one-off in Mexico to be reversed in 2024. As you can see in the slide, stripping out the effect from the asset rotation from our Mexican transaction, €98 million negative, mainly linked to deferred taxes partially compensated by lower amortization, and the Brazil €91 million positive, mainly at the equity level as advanced before. Net income reached €4,809 million, 10.8% more in line with the reported net profit and achieving double-digit guiding, reaffirming Iberdrola’s high quality results underpinned by the fourth quarter of €141 million of negative one-off that will help 2024 and subsequent year end results. Thank you very much. And, now, the Chairman will conclude the presentation.
Armando Martínez: Thank you very much, Pepe. This result plays Iberdrola in the best position to accelerate growth in the coming years. In 2024, we expect 5% to 7% increase in net profit, including capital gains for an asset rotation. Clearly, exceeding €5 billion for the first time in the 120-year company history, with dividend growing in line with results. We will reach a new record of investment on €12 billion, mostly in networks. We focus on United States, even mainly by the new rate cases of New York and Maine. In the UK, through the RIIO T2 and ED2. And in Brazil, thanks to the new rate cases in Neoenergia. Renewables will continue growing things to the contribution of offshore wind with the 600-megawatt installed in the 2023 in Saint-Brieuc, plus the additional result from our orders of offshore wind farm construction. On top of this, we will commission 2,000 megawatts of new onshore capacity. In addition, we have already sold 100% of our energy for 2024 with prices recurred. And we expect to benefit from lower financial expenses due to the positive impact of Mexican transaction and the co-investment with our partners in other geographies. All this, the result of an integrated business model that maximized growth and predictability with a recognized track record of optimal execution. In the coming years, networks will continue representing 45% to 50% of our EBITDA, 10 points above our European peers. Focus in high-rating countries with a stable framework. We have already closed rate cases for almost 100% of our asset base until 2025. This model allows us to secure growth in predictable margin in the networks business I have done in the last 3 years when our EBITDA increased by 8% on average. And we expect the growth trends will increase in the future driven by the huge investment needs, transmission and distribution in all our geographies, following the analysis recommendation of the COP28, the European Union, the European Commission, or the International Energy Agency among others. In production and customers, we’ll continue balancing our generation and supply position with optimal mix of routes to market. We have already 100% sold to our output for 2024 and around 85% for 2025. With stable margins, thanks to our portfolio, there is no depend on the volatility of fossil fuels. On top of that, we have around 5,000 megawatt of storage capacity with 20-hour duration of Iberia that means 100-million-kilowatt-hours of storage capacity, providing us with 100 million this megawatt – which will become more and more relevant in the market with higher price volatility driven by renewable penetration. Already, in 2023, this storage capacity allowed us to produce 5,000 gigawatt hours, 58% more than in 2022. And we have 1,000-megawatt of more than 20 hours of additional pumping storage capacity under construction. We also have continued benefiting for our global PPA portfolio of 12 million retail customers to which we have provided best service through clean energy and other value products at competitive prices. On top of this, our diversified geographical footprint in high-rating countries will allow us to minimize regulatory risk. We are convinced that all these competitive advances make Iberdrola a different company to utility universe and that the upcoming changes in the industry driven by electrification and the penetration of renewables. That will maximize our opportunities to invest and create more value for shareholders and the whole society in the coming years. As you know, we will hold our Capital Markets Day in London on March 21, with more details of our outlook. I hope you see all of you there. Thank you very much. Now, we will answer any question you may have. Thank you.
A - Ignacio Arambarri: The following financial professional have asked the question that I will now put to the senior manager present on this event. Gonzalo Sánchez-Bordona, UBS; Peter Bisztyga, Bank of America; Daniel Rodriguez, Bestinver; Philippe Ourpatian, ODDO; Manuel Palomo, Exane BNP; [Thomas Raiz] [ph] CaixaBank; Fernando Lafuente, Alantra; Rob Pulleyn, Morgan Stanley; Javier Garrido, JPMorgan; Ahmed Farman, Jefferies; Alberto Gandolfi; Goldman Sachs; James Brand, Deutsche Bank; Fernando García, Royal Bank of Canada; Ahmed Farman, Jefferies, Jorge Guimarães, JB Capital Markets; Javier Suárez, MedioBanca, and finally, Marc Ip Tat Kuen from Berenberg. The first question is related to the net income 2023 and the main drivers that has driven to these results.
Ignacio Galán: So, well, I think the first one is, our increase is 11% due to the higher investment in networks and renewables. I think this 11% is even after €170 million of provision for the future efficiencies, where that means that there should be instead of 11% should be as Pepe was mentioned around 14%. So, I think, we have higher renewable production. We recovery the hydro resources with resulting with higher production and, I think, something I mentioned is the pumping storage volume with that this our volatility. I think the average production tradition in Spain, hydro is around 12-terawatt-hours and, I think, this year only in public [ph] industry will produce 5. So whether it means with dry or not dry year we are able to produce and generate more and more, minimizing the volatility that is already with these new times, I think so the increase of renewable in the mix is generating. So, I think, in terms of energy purchase as well, we diminish the buying of electricity than in 2022 we bought on the range of 200. Okay. Also the retail deficit in the UK, I think is almost 300 million, which we had already recovered during the year. So all these are making that one. I think more production, lower purchase, recovery of the deficit of UK and more contribution to our networks as consequence of the increase of our investment in these regulated activities. With that, this amount close to 50% of our total EBITDA in this moment.
Ignacio Arambarri: Next question is related to Mexico. Could you give us an indication of how much the cash in after tax of the asset rotation in Mexico should be, and how much certain are you on receiving the funds on February 26?
Ignacio Galán: So, I think, we are expecting to receive this on the 26th of February, as I mentioned in the presentation. And I think that is consequence that the last approval, with remind was the competition authorities, which is Cofece. We got the approval a few days ago. We are expecting the one receive this amount, the Board of Directors of Mexico, our subsidiary in Mexico will meet. And, I think, we will know already, the conclusion about the terms of the whatever capital gain, they can already achieve. And, I think, in any case, I think all the details about that one will be already, we will provide you as soon as we have all the detail one that is finally cash. But certain before the 21st of March, you will have all the detail, and we will leave you all the detail by the 21st of March in the Capital Market Day.
Ignacio Arambarri: Next question related to the 2024 guidance in net income. Can you please give us a bridge from full year 2023 to full year 2024 net income? What are the main variables that could lead this growth to be in the higher part of the range plus 7%?
Ignacio Galán: So, I think, the first thing in 2024, I think the first one is the new investment. I think we are going to invest €1 billion, which I think is in networks. We have already commitments on the new rate cases. I think as I mentioned in Brazil, we have already 75% of all our ramp is already signed the new rate cases with increase of commitment of investment. In the United States, the same thing with new rate cases, we cover 80% of asset base, New York and Maine as well. We have new rate cases and with new commitment of investment and new remuneration. In the case of UK, I think it’s a new investment on the RIIO ED2, RIIO T2. I think I have to say in the RIIO T2, the awarded amount for investment is going to be overpassed in a significant manner. So I think it’s probably the amount, if I don’t remember that was on the range of €1.3 billion, €1.4 billion, awarded amount for CapEx, probably a range overpassed the €2 billion. And, I think, we are paying according with the extra investment we are making. And in production and customer, so I think our production has been normalized in the case of wind factor. Hydro reserves are already in line with historical average, even more than historical average, I think, we are most of our dams are on the range of 70% to 80% capacity cover. The increase in role of pumping storage, as I mentioned, I think that we may 5-terawatt-hours probably this year going to may move. In offshore, as I mentioned as well, the Saint-Brieuc is already just completely in production. Just to give you an idea, the amount of the contribution of these offshore wind farm of France is similar to the reduction of EBITDA, we are going to have in Mexico as consequence of the transaction. So really it’s a huge operation. In onshore, we expect to put in service 2,000 megawatts and, I think, something very important is 100% of all our electricity is sold as price which are secured, which I think we are not being affected by the volatility of the today’s prices. The case of the cash in the €6 billion in the partnership with others, so as well, is going to help already to diminish our financial expenses. And as consequence, that is what we are expecting this growth between 5% and 7% with reaching for the first time in the company history this €5 billion net profit by the year end.
Ignacio Arambarri: Next question is related to the guidance of net debt. Can you also provide a guidance for the 2024 net debt?
Ignacio Galán: Pepe?
José Sainz: Yeah, we are expecting to end the year in 2024 with a net debt of around €47 billion, more or less.
Ignacio Arambarri: Related to the hydro in 2024 included in the guidance, in 2024 guidance, what is the extra contribution for hydro versus a normal year? Can you quantify in million euros?
Ignacio Galán: Armando?
Armando Martínez: As always, our budget is based on average hydro year as always, but I want to highlight what the [indiscernible] very positive for this year 2024. First of all, we will full commission, the Tamega facility will increase our capacity. The second is the good levels of the reservoirs that we have now, the most important things we are taking advantage of the market volatility, it’s very important increasing our hydro production during the year.
Ignacio Arambarri: Next question is related to taxes in Spain, the 1.2% revenue tax. What is your expectation for 1.2% revenue tax impact in full year 2024? Any visibility about how energy transition CapEx deduction to 1.2% revenue tax in Spain will be defined?
Ignacio Galán: Well, I think as we explained, I was shocked when I was seeing the numbers, when we closed accounts, that seemed that our taxes, a part of the corporate tax, the levies, are more than our personal expenses, more than our external services, more than operational maintenance, and more the financial cost together. So which I think is – I think, Pepe has already mentioned that the average in other countries is 20% of the operational cost, and here is 120% of the operational cost. So which I think is something, which some of these taxes are already temporary base. I think one has already disappeared, which is the price cap, which has been after the approval of the measure, the new regulation for the European Union, the reform of the market. But I think another one, which I think they are still maintained, even was a temporary. So I think the case of 1.2% part of the news already is in the court, the challenge in the court. But I think what I heard from the government is then they would like to modify that one in a manner that that can be already minimized or transform according with – the meanings with according with the investment you can make. In any case, I think it’s something which has not a logic. It’s the only country where still we are keeping this tax base in revenues, so which has no sense. And I think it’s making already the country, which is, I know already, here are the list with 38 different taxes or levies in the country, which I think 18 are from the central government and in another 20, well, now it’s 22 because there are another 2 regions which has already increased in the region now. So I think it’s no sense. I think that is making the things in a manner, which is not precisely making the things as accretive to be. And as you are in transitory measures, we can already leave, but I think in a stable base, I think it’s something which is out of whatever is in the rest of the world. So Spain have not to be different as well in that one. And we have to align with the rest of the Europeans and align with the rest of the countries, because I think it will lie in this country, will be as attractive as all will lie then it will be.
Ignacio Arambarri: Next question has in some way relation with one with the recent answer from you, Mr. Chairman, networks investment in Spain. We are seeing continued investment upgrades across several countries in power grids, but not as much in Spain distribution. In which way would you like to be incentivized to invest more, and what is the status of conversation with the government and regulators?
Ignacio Galán: Well, I think what we are facing is a law which was made in 2012, we don’t remember that during the previous government. It was after for trying to cover the electricity deficit, they have already irritated. I think the country has already a huge deficit. And at that time, the government, they took certain measures to try to minimize. One of them is that one, which I think is not much sense because you link the GDP with the investment in grids. I don’t know what is the relation. It’s something we have not in my view as engineer. I don’t know if the economy is different, but GDP and the electricity grid, I don’t think what is the connection, but that’s remind. The typical thing which is made and the following government has not already modified that one. So, now, it’s already a global demand internationally that, if we would like to electrify the economy, we would like to reach the carbonization target. We would like to diminish the external dependence. The grids are crucial has been said in the COP28, is the European Union is saying the same thing, is the international agency saying the same thing, and Spain as well. The national plan for renewables and electrification as well as included. So I think that is something with one time to another one, have to be changed. And I think that is what the Minister of Energy, by President of the Government has already just mentioned that she’s open to change those one. But for that is not enough to take the cap. I think they have to make something attractive. Today’s rules, if there are no change, the attractiveness of the investment in renewables are very low, I think it’s the return expected – in networks, sorry. The expectation of returns for the next few years, if that is not modified, it’s much lower than those one we have in the rest of geographies. So I think if all countries, leading by United States, which is the highest, the returns, followed by Brazil, followed by Britain, or whatever countries we have present, I think they have to align with those ones. And that is what, now, we are in process. I think it’s very open discussion. I think is what we are perceiving by the regulators and government is the interest of modifying this rule and reaching some level of agreement which makes attractive to make the necessary investment that the country requires. And that is what I can tell you about that one.
Ignacio Arambarri: Next question related to power price in Spain and the UK. Can you share a chief power price for 2023 and 2024 in Iberia and the UK?
Ignacio Galán: Armando?
Armando Martínez: Okay, so for this year, 2024, in Spain, we have for our generation for this year already sold, and around €100 per megawatt. In the UK, the price should be something around GBP 150 per megawatt.
Ignacio Arambarri: Next, related to PPAs, could you position the average PPA price in a euro megawatt hour you reached with your new corporate off-taker in 2023 and by geographies?
Ignacio Galán: Armando?
Armando Martínez: Okay, signing PPAs for us is not new. We have been signing PPAs for many years, but we are continuing to celebrate and we have new PPAs signed worldwide for, in 2023, for around 5.3-terawatt-hour per year in the whole, all the regions. As you know, we are the leader in the European market PPA. We are selling more than almost 1,000 megawatts of contracted supply. That is something around 3.5-terawatt-hour per annum that we are selling only in Europe. And for prices, we have been signed – just the last time PPAs were signed, for instance, in Germany, something in the range of €70, €80 per megawatt hour.
Ignacio Arambarri: Next question is related to the offshore wind. Can you talk about offshore wind plans for the year? Which auctions do you intend to participate in? How are you seeing off-take prices developing?
Ignacio Galán: Well, I think, as you know, we have already two projects in New England, which I think is, we are analyzing to participate in the joint Connecticut and Massachusetts and [Rural Island] [ph] auction. I think, we are committed, but we will be very selective. It depends very much on the times of this one. We have already, after the participate another one, we have a period of negotiation, which I think is 6 or 7 months. So I think, nothing is going to be the final up to the middle of this year or after summer. In UK, we have as well, I think, good news. The government, after our conversation with them, has already modified the terms and the conditions of the new auction. So I think the strike price is for the AR6 auction is 66% higher than it was for AR5, as well, we are analyzing this one. We have as well a couple of projects to participate with around 2,000 megawatts. And, I think, we will see what is going to be our final position on that one, but we are positive in the view. In the other ones, there are very many auctions in the announce in Germany, France, Portugal, Spain, whatever. But in most of them are still in a draft phase. So when we have more details, we will be ready to take a decision to participate or not. But I think we are – I would like to summarize, we are positive in offshore, we are committed, we have a good team, but we will be – as we’ve been in the past selective, going to those one which are in other tracks, and not going to those one who we feel are not attractive enough.
Ignacio Arambarri: Next question is related to U.S. offshore business. Could you elaborate about U.S. offshore current market condition regarding CapEx and price trend?
Ignacio Galán: Well, I think once again we are the first mover. I think we won 4 years ago, 3 years ago, two auctions for Connecticut, for Massachusetts. We saw the terms in which we had already made the bid, we had already changed drastically before deciding to made FID. And so that’s why we went to the authorities of all the states, first to renegotiate the terms, and then when we saw that that is impossible, it forced ourselves to renounce. Many of our colleagues and competitors, we are not enough, let’s say, agile as we did. And they not only – has not already took the decision we took at the right time, but I think they’ve been forced to take the decision later on after making a huge expenditure and committed a lot of money, we forced themselves to make a huge write-off. I think the cost of renouncing to this project in our case was US$40 million, which I think, Pepe has already mentioned as an extraordinary expense we have already in year 2023, but another one they’ve been forced to make billions of dollars of write-offs on that one. So now the terms, it looks, then it’s changing. I think the recent auction in new year shows that they are already accepting certain of the rules that we’ve been already discussing to give already taking the time between the moment, we made the bid for the auction up to the moment that you made the FID. We can’t take years, because the period of permits and et cetera, I said, is long in the state. So I think they gave the opportunity of revising this price auction according with certain parameters. And second, is as well to adjust the final price with certain parameters, inflation or whatever, for the period of the duration of the PPA. So I think those are positive. I think now in the another state that’s New York, another state something is like but the still is not completed, but they gave already an opportunity as I mentioned before to negotiate since the moment you participate to negotiate during certain number of months with the different regulators of the state the terms of your offer. So which I think, probably, all these things will be included on that one. If the thing goes in the right direction, we will proceed if not who will renounce to those ones, so as sample. I think is plenty of opportunities in this moment of different countries for auctioning offshore. They are not very many players. What we’d be ready if we have the capabilities, the technology and the knowledge for making those ones. And, I think, we would like to be on this one, but as insist on that one committed but selective as we are in all the things related to renewable particularly in offshore with the investment are huge.
Ignacio Arambarri: Next is related to solar PV, in the conclusion is like you comment on wind onshore and offshore addition. Have you changed your mind regarding solar PV?
Ignacio Galán: No, I think is – I know always say the same thing, I think is that all technologies are needed for achieving the target of autonomy, decarbonization, self-sufficiency, et cetera, et cetera. I think, it depends on the countries, it depends on the region, it depends on the moment. I think, solar PV is good in certain countries, in certain areas of the countries, which is good in certain countries, in certain parts of the countries. And so, I think, we are not in favor of one another one. I think is it depends saying that they are already we have to analyze carefully in this country. What is the curve of production and the curve of demand? As I show you in the last presentation. And I think it’s clear if everybody makes only solar. So probably at the middle of the day, it will be an overproduction of electricity, which I think in some countries like Spain, for us it’s good because we can already use this overproduction for pumping water. We can already generate electricity in the hours where the sun is not shining. So that’s why I think we are not in favor of, again, it depends. But I think in the particular case of Spain, we feel that large scale production of solar can already give us an opportunity of gaining and making extraordinary contribution of all our large-scale pumping storage facilities. We are unique in the country on this one and we continue already investing. We’ve been first movers on that one for the last 20 years. We continue being on this one. I think we just completed the pumping storage facilities of Tamega, Portugal, which is fully connected with Spain as well, in Portugal. And we are in this moment as I mentioned before already building a new pumping storage facilities for almost 1,000-megawatt we gave already 20 million of kilowatt hours of pumping storage capacities. So last year we made 5-terawatt hours of pumping storage production in Spain and, probably, this year if the volatility continues not only we can help the system thanks of our pumping storage facility, because this volatility is very, very difficult to manage in the system, but as well to that same time that we held the system to keep the lights on, we expect to have already some extra contribution to our accounts.
Ignacio Arambarri: Next question is related to M&A. At the beginning of the year you ended the merger agreement with P&M and you will soon receive the casting for the Mexican generation assets. How do you intend to invest these additional resources?
Ignacio Galán: Well, I think, we will have the meeting on the 21st of March, the Capital Market Day and we will give you more detail. But, I think, I would like to tell you something clearly. I think I mentioned that our – in this moment, in net worth we have huge opportunities. So in the United States, I think only in the case of New York, our case commitment is €7 billion of investment of up to 2026 in transmission and distribution, applies another probably €3 billion in transmission and up to 2030. We have already UK transmission, as I mentioned, huge demand. Only I think the recent days we have launched an auction for GBP 5.4 billion of purchase of equipment expecting to secure the supply chains for the future investment required in the country. And, I think, in Brazil, the situation as well is huge on that one. So, I think, we have plenty of opportunities either in the state, in networks, either in Brazil, in networks, either UK in networks. So I think only that one, plus I think what I mentioned the auctions that we can participate in renewables in different countries. But I think certain networks, which is already as our core business or more core business with 50% almost of our EBITDA is already an area in which we have plenty of opportunities to grow with existing commitment we have already taken in different countries.
Ignacio Arambarri: Last question is related to hybrid issues. We saw Iberdrola recently issued a hybrid bond with coupon around 4.7% that this indicated that the company could undertake more hybrids and if so how much more hybrid capacity the company has?
Ignacio Galán: Pepe?
José Sainz: Well, yeah, now as we mentioned in the last Capital Markets Day, the strategy of the group is to maintain more or less the same hybrids that we have right now. We issued a 700-million hybrids, because we had to roll it over. We don’t have more hybrids to roll over in the next month, so we are comfortable there. But the idea is not to increase the amount of hybrids issued by the group. Although, as you know, the group could issue much more has a much higher hybrid capacity. But, in principle, the strategy is to maintain the same hybrids issued as we have up to now.
Ignacio Arambarri: With this 14 question we are finishing the Q&A session and, now, please let me now give the floor to Mr. Galán to conclude this event.
Ignacio Galán: Well, perhaps I will conclude with certain message of optimism. I think we are already certain opportunities, which has already been a problem, but I think it’s an opportunity, taxes cannot be worked, levies, so I think it can improve. The investment on Mexico is a clear opportunity. Co-investment with others is as well a good opportunity for diminishing our financial cost. 50% of our business is regulated. Regulated means we are protected against financial cost, which is a pass-through, and is protected against inflection. So we are already a lot of opportunities in the regulated business to grow, and as well we have already a lot of opportunities in renewable being already selected. So that’s why I finish those things make ourselves a bit different. I think that will be the basis of our Capital Market Day on 21st of March. So up to this day, thank you very much for attending this presentation. And I think you have any question, I think our Investor Relations team can already give you additional information that you may require. Thank you very much. We’ll see you in London on 21st of March. Thank you.